Xavier Huillard: Good morning. Good morning to you all. Thanks for joining us this morning before you head off on a holiday. A few further grounds to get started. Let's have the first one. So this is the earlier one with Gatwick airport, an aerial view of Gatwick, so queue the photographs, the aerial view of Gatwick, the cover page. Anyway, so here we are in Belgrade -- Belgrade airport, the airport with Nikola and where we have received the French President two weeks ago. We're able to see that the French President speaks Serbian fluently. Free flow lanes to [indiscernible] interchange that is accessible, and it's the first, not just to the free grew toll passengers, but also on the new lease free scheme by reading the car registration plates can invoice you directly, even if you don't have a telepath, as long as you've provided your bank details. This is a fine management contract for free flow transactions, customer service on the M50 Dublin ring road, very busy stretch road, about 45,000 vehicles per day for a local partner for us, it's 11-year contract amounting to some €373 million peer service. What I see here, this is an unusual photograph of VINCI Energies, it's a new driver assistance into these incredible cord and rack railways in Switzerland, that Pilatus that has been operating, as you know, since 1889, the rack railway, very steep of a gradient to up to 48 -- 48% -- that's about 30 degrees for those of you who have some knowledge of trigonometry, so that's a very steep gradient. The next slide is an artist view of the fine contract, the €2.7 billion for the design and build of 27 Light Rail in Ottawa teaming up with our U.S. partner, [indiscernible] We're going to involve both Eurovia and VINCI construction. That's very good news. Next slide is a view of the well that will be the intersection of lines 14 and 15 of the Greater Paris Express, very close to the OC Institute, South of Paris. In one direction, you have Line 15 and the other line, 14 and in the middle, the T3 station. And then the final chart is an artist view of our new headquarters, interested to VINCI real estate, of course, and that's to be inaugurated during the course of 2021. This is an actual photograph taken by [indiscernible] who doesn't just have accounting talent, but also take some fine photograph. This one day in fact the last May, and it's progressing well. There are another 5 stories that have been added. It's entering full-scale engineering service, so this summarizes what we've achieved during the half. As usual, I will give the introduction, followed by Christian who will give you the details on the financials and the few words on the outlook for 2019. So first half of 2019. We can note of course, strong growth in the business, up 10% and VINCI Airport continues from benefit from good momentum in passenger traffic. VINCI Autoroutes has had traffic levels strongly impacted by various events, more about that later, but nevertheless, has stabilized its traffic levels at the end of H1 and then contracting, sustained organic growth across businesses and impact of the many acquisitions paid in 2018, not shown on this slide, it's very good. The free cash flow generation. But of course, Christian will tell you more about that in due course. Geographically, all our European positions are up well. Africa, as we indicated, has turned the corner is up significantly. That's good news because, as you know, Africa, historically has generated greater satisfaction on average than other countries in terms of construction, North America are up hugely. But of course, that's the impact of the two major deals in 2018 at VINCI Energies in Eurovia, and then also on the Middle East, Asia have made up for the middle, Middle East and Oceania up well at the end of a few major projects in Hong Kong, which, all in all, lead to a slight cyclical downturn in the area. Going into detail, Autoroutes, highways, broadly stable, slight downturn, 0.4% for cars, plus 2% for trucks. It's become hugely complicated to make half-to-half comparisons. There are calendar effects, whether this has under various social movements of unrest, not just the [indiscernible], but you'll recall, last year, we had farming demonstrations that disrupted at some on the ASF network in the first half. Conversely, there was the positive impact of rentals that brought some additional traffic to the motorway, so it's very difficult for us to make comparisons. And I have to say that the fact that we end the half with basically traffic that is flat, is, for us, good news, big mobilization at VINCI Autoroutes, and some holidays for the service area is an opportunity for about 1,500 of our employees on a volunteer basis to rally to take part in events in the service areas as people had for holidays, usually is 30, which offers a 30% discount for day-to-day users, commuters who commute over 20x amount from home to work about 40,000 passes, but given as we rather sold to our customers stage new trial of a Peugeot autonomous vehicle Peugeot 3008 that has in full autonomy, driven at 130 kilometers per hour, not just through toll gate, not going through the tollgate, 130 ks but also in a construction works area. And it was able to safely pull over on the hard shoulders of working with Peugeot to develop vehicle autonomy. Focusing now on VINCI Airports, strong activity in VINCI Airports that will have managed to €2.6 billion over 6 months, taking into account the consolidated, nonconsolidated to the airports dynamic passenger traffic increase, you can see bottom right in this slide, Portugal 7.2%, Japan 6%, U.K., up 33%, Chile up 11.3%, France 10.1%, it's even a lot better if we just focus on non [indiscernible] and Cambodia still reaching very high levels at 15.5% traffic growth on the half. This performance is as a result of the opening up of new routes and routes which for the first time are connecting our airports with capital, so large global cities. For example, we have opened Lisbon Doha in Qatar, Lisbon, Washington, D.C., Belgrade, Lyon, Alsager [ph] London, so there's good traffic with good retail business, good cost containment, the integration of Gatwick, Belgrade and the airports from AWW allows to deliver fine revenue growth and the results you see on the slide, there's been other conditions, not much to add. No new assets brought into our portfolio back, but as you can see good growth. On the contracting front order intake across all businesses on a 12-month rolling basis, we are significantly up in the order intake for three contracting businesses, it's in part due to recent integrations, but also a resumption in organic growth because now we achieved organic growth of 4.6% at [indiscernible], over 10% at Eurovia and 6.1% at VINCI Construction, focusing on VINCI Energies. Well, as I said it, it's accelerating its organic growth and what's more benefiting from the impact of recent M&A deals. So on a like-for-like basis, we achieved this increase of 8.8% in revenue VINCI and achieve now -- achieving significantly a large part of its business outside France, was 6.54% [ph] outside France, 46 in France, VINCI Energy is benefiting specifically of good trends and energy Infrastructure segment, but everything that revolves around information technology and communication. It's also improving its operating margin. That's the legendary discipline in order intake and good M&A deals always a good crop of acquisitions on the half is a small and medium size, some 20 companies will have joined or will soon be joining VINCI Energies over the next few weeks. Eurovia, things are going very well for as I said, strong organic growth, particularly in France. On this slide, you have France, 12.8% organic growth is, obviously, a pre electoral year impact that we have every reason to believe that the parties set to continue, perhaps not the same growth levels into 2020, given that the 3 levels of local authorities have regained some financial leeway, thanks in particular to additional income from transfer taxes. And so we're no longer in the period when municipalities was stretched in terms of gearing, they return to higher debt leeways, so we have the impact of pre electoral year that's better than expected, and we expect that this could continue into next year because Eurovia benefits from the acquisitions in 2018 and taking over the industrial activities of lanel, plant and paving in the U.S. allows us to double our size in road construction in the U.S. Let me remind you for the 25th time, I believe that for seasonal reasons that are obvious, the EBIT performance in the first half of the road business, in a way, represents the annual performance. What you need to note, however, at the end of the half, we have a performance that is superior albeit negative than last year, but this allows us to confidently expect to improve the EBIT margin of Eurovia full year. VINCI Construction, we still have our cut out, a number of reasons to be satisfied at solid township in a specialized civil engineering unit in Africa, as I said, where business is picking up stronger-than-expected in the U.K. that has been successfully restructured and is doing well in an environment in the U.K. that's very disruptive with bankruptcy of Carillion, of Interserve, the difficulties faced by Kier and many others and a pretty uncertain climate, notably, regarding the future on HS2, the big project where there seems to be a major question mark whilst awaiting decisions of the new government, the new prime minister. Business sustained very acceptable in Central Europe, also in [indiscernible] New Zealand, we've just closed a great deal, about €1 billion, with a local partner, €970 million. And the large projects business that went through a low point that was looking for new deals, that's done. We just landed two major deals in North America, one linked with Eurovia, which is the auto one metro, in partnership with [indiscernible], our partner; the other €2.9 billion linked with our partners, ACS [indiscernible] for the Department of Transportation of Virginia. However, conversely, oil and gas still remains very challenging, both in volume and profit terms. France, paradoxically, the regions that -- where things are pretty strained in terms of number of projects available on the market, very sharp trough in public infrastructure projects launched on municipalities of Paris region that remains active. Civil engineering, thanks to the Greater Paris project, but highly competitive, be it either for buildings or civil engineering. More generally, with our focus on any particular project, my sense is that relations are perhaps slightly more strained today than before between the principal, the owners and contractors that we are difficulty to find agreements in delivering our contracts regarding the inevitable contract modifications, the need to have revised prices or to develop riders to contract. It's difficult to do that amicably. Increasingly, run of the river with our clients. And that, of course, has an impact on us because it postpones the possibility of booking our income was by discipline. We booked the corresponding expenses, EBIT. The VINCI Construction, in no way, reveals the final figure for 2019, which is set to because to that booked in 2018, that is 2.8%. Let me remind you possibly slightly by [indiscernible] downwards VINCI real estate. VINCI Immobilier is holding up. While a year ago, we said that we probably reached the peak of the residential segment that's happened is a slight dip of 6% in the number of homes poked. But for positioning regions, there's an increase in the value of these bookings. Commercial real estate, doing well with offices, hotels, plan, notably in the big cities in Paris and in New York. Lastly, as we said, VINCI real estate has finalized the purchase of the first 49% of Urbat that will complete our offering on more affordable housing in Southern France, in particular. Over to Christian.
Christian Labeyrie: So I'll try not to repeat what Xavier had said. On revenue, to start off with. Our growth in the first half reflects extra revenue to the tune of €2 billion,, which is far from manageable. And organic growth on that will account for €1.2 billion, which is up 6% in terms of organic growth. Acquisitions contributed approximately an additional €700 million from acquisitions made in 2018 that will have the full impact in 2019, mainly the airports of Belgrade, AWW and other airports and also PrimeLine and significantly in Wah Loon in Singapore and other acquisitions this year in the first half of 2019, contributing half of the €700 million, basically, in this and mainly concerns VINCI Energy, which is like approximately 20 small acquisitions, mainly in Europe, in France and in Benelux. There's a currency impact which is positive this year, which is a novelty. Dollar is up, and this produces a currency gain. Looking at geographical areas. Next slide, France was robust with organic growth of almost 7%, representing approximately €800 million with strong performance, as Xavier said, at Eurovia. Also, VINCI Construction in volume terms and VINCI Energies, to a lesser extent, real estate, plus 20%, and a strong growth in corporate real estate. Xavier has referred to l’Archipel, our headquarters, and the residential property, plus 13%. We have the production of new residential programs that have been launched and which are now entering the production phase, so things are moving ahead. Internationally, significant growth, €1.2 billion, mainly due to external growth. As I said earlier, looking at country, the strongest growth countries are Africa, plus 30%, impacted by the recessions in the previous year; North America, almost plus 7%; Europe with France, plus 5%, Germany, 7%; U.K., 4%; with a decline in Asia and Russia with the completion of some major sites. And looking at results, I want to go with what Xavier said, but I was going to -- I can anticipate the question towards the -- what was the impact of IFRS 16 on consolidation of liabilities, finances through leasing. It's almost nonexistent for -- in Europe, but we look at the EBITDA would be amortizing these assets. But in terms of operating income, it's almost 0, its impact -- overall impact of €4 million, so very small, indeed. What else? Looking at growth at Autoroutes and VINCI Airports. Margins at Autoroutes has improved due to good cost control -- operating cost control, the fact that we have stable traffic, increase in revenue, plus 2.6%. Also [indiscernible] given that heavy vehicles are up also. Light vehicles, down 0.4%. We had a seasonal impact that was favorable because the winter was very mild and also some insurance revenue. Looking at VINCI Airports, you can see a flattish margin due to dilution and consolidation of new margins. Margin is below the average margin for VINCI Airports, basically broken down AWW and Gatwick. Gatwick is in line with the average margin at VINCI Airports. VINCI real estate, margins down [indiscernible] strong seasonal factor and margins at VINCI Immobilier due to the fact that last year, at the beginning of the year, we had profit sharing in a high-rise building in Medifast. That was a nonrecurring. It was a windfall profit. VINCI Energies, margins up, close to 6%. So VINCI Energies has done quite well. Eurovia has a good margin, which is not representative in the first half, but which is up with positive contribution by -- from France, which is usually not the case. Usually, in the first half year, we had deduced down because of fixed cost. This is not the case this year. And we have consolidated the North American and Canadian subsidiaries, which do not work during the winter. So we're down overall, but less than last year. And VINCI Construction, as Xavier discussed, is down. Income statement. Looking at the different items, everything has gone more or less in the same direction, plus 8%, 9% up on last year. Looking at EBIT and current operating income with companies consolidated under the equity model and the impact of IFRS 16, we have more staff members who enjoy our profit sharing schemes, in particular. And we see that we have contribution from companies consolidated under the equity method which are also improving due to the strong result in Japan. And the nonrecurring items, well, there were very few nonrecurring items and there were not many last year. And looking at financial income and expense, it's down because we've increased the debt load. So it's quite normal that we should be paying more interest expense. It is a combination of factors. We have reduced our borrowing rate for the corporate business, VINCI, ASF and Cofiroute quite significantly because our new bond issues were launched under exceptional terms in terms of coupons. And we have launched acquisitions and issues in U.S. dollars and sterling at costs which clearly are higher than in euro and then we have a volume effect which is due to external growth and the consolidation of newly acquired companies, in particular Gatwick. And all this leads to a rise in interest expense to the tune of approximately €30 million, which is not really significant given the debt load. Conversely, there's a negative impact due to the opening of the new -- the second tranche of LAMSAC, the ring road around Lima, which was commissioned in June 2018. And from June 2018, we no longer have the interest expense reflecting in this investment so it has a major impact, therefore, on the operating income to the tune of approximately €20 million. That's what we can say on financial results. Tax is up but not very much given the results. And I recall that the previous year we benefited from the CICE tax credits and nontaxable tax credit which has been converted into a cost in social charges, but we have to pay tax on this reduced social charge which has a negative impact, of course, on the amount of tax paid by the group with net income up in volume and per share by plus 4.5%. And we are now looking at cash flow. And EBITDA was up strongly by 23%, but there's an IFRS impact which is significant. And excluding that, there's still a 17% rise in EBITDA. And the IFRS impact is approximately €250 million. The EBITDA margin is an additional 40 bp, in particular at VINCI Autoroutes. And in the contracting business, we have an increase of EBITDA, excluding IFRS, of 17% from 2.4% to 3.6% of revenue. Working capital. Working capital requirement has a seasonal fluctuation, but less than last year, up €200 million, contributing to the improvement of free cash flow. Tax paid is up because, as I recall, January 2018, we enjoyed the green tax reimbursement, nonrecurring €116 million due to the cancellation of dividend tax. CapEx up slightly by €50 million, in particular at VINCI Construction with the Gatwick impact. The CapEx from Gatwick is included under this item to the tune of €50 million. And we have slightly less CapEx at VINCI headquarters because we bought the land last year. And of course, the investment entry is very important, €8 billion in total including Gatwick, €7.7 billion for Gatwick alone, LGW. And this reflects GBP 7.7 billion at current exchange rates at acquisition. Free cash flow before financial investments is positive to the tune of €316 million, whereas it was negative to the tune of €136 million last year. Over the past 10 years, I don't know if you had a look at this. It's only happened once in the past 10 years that free cash flow is positive in the first half at VINCI given the seasonal nature of most of our businesses. So it's pretty exceptional even though it's a relatively modest amount in absolute terms given what the group generates over the year. Looking at dividends, we continue to apply our well-known dividend policy. And capital increase is plus €0.6 billion. Half of this comes from the capitalization of a share loan for London Gatwick and the impact of LGW at the 30th of June is not €7.7 billion but is €7.2 billion. The balance sheet, which is the next slide, shows a strong increase in capital employed, up to €50 billion versus €38 billion and €37.7 billion at 30 June 2018. Strong increase of the concessions, over €42 billion and also contracting to the tune of €13 billion. IFRS 16 impact accounts for approximately €1.7 billion out of the €50.5 billion of capital employed. Looking at assets, not much to say, but we have an increase in the debt load. Gross debt, gross financial debt which is getting close to €28 billion, with a decline in cash due to seasonal effects and also given that cash no longer generates very much at all. So if we invest short term then it's actually a cost, so we sought to reduce it. And to conclude the main financial transactions in the first half. I recall our ratings: A- S&P, A3 Moody's. S&P finding it very difficult not to upgrade us. So we're still A-. And we have executed some transactions that I'll refer to. On the bond market in the first half, we issued €4.2 billion of new money on the bond market, average maturity of 11 years. So we are extending gradually the average maturity of our debt load. And we're continuing to reduce the cost of debt to 2.08% even though 60% of the gross debt load only is denominated in euro. This was not the case previously because we had 80% of our debt in euros previously, another remaining 27% is in dollars and the rest in sterling. And we have an average cost of 2.08% of the debt as you can see on the chart, bottom right. So continuing to decline from year-on-year, but I think we will probably reach a floor. So the remaining debt issues, GBP 800 million at 2.6% on average and $1 billion at 3.9%. And an issue for London Gatwick, LGW, spanning the first and second half, GBP 300 million on a 30-year maturity on an excellent coupon, 2.8%, 2.9%. Cash, we're reducing cash as I explained. We still have €8 billion in available credit lines as well.
Xavier Huillard: Thank you very much, Christian. Thanks. So the landing point for 2019, everything you heard allows us to confirm the guidance given 6 months ago. On the motorway business in France, we expect to see traffic growth in line with economic growth subject, of course, we don't suffer additional exceptional events, once bitten, twice shy. Growth at VINCI Airports, although with an '18 comparison base that remains high so the growth rate will be, yes, very significant, but lower than in 2018. In contracting, we strengthened in our guidance by the fact that the order book at the end of June is sharply up, as you can see, across businesses, order book up 11% at the end of June '18 with a split, France, outside France that benefits international which is consistent with our strategic guidelines. So growth in concessions will deliver growth in contracting, not just organic growth as in the first half, the full year impact of the acquisitions in 2018. So we must leverage that good climate in volume terms so as to continue to improve our margins. Obviously leads us to believe that this year, once again, we'll deliver further growth, both in our revenue and net income, which led the Board of Directors yesterday to decide on an increase in the interim dividend of €0.79 per share payable early November 2019. That's up 5.3% over last year. Thank you. We are happy to take any questions you may have.
A - Xavier Huillard: Jean-Christophe, do you want the mic? It might be a good point we would do that deliberately not to give you the mic.
Jean-Christophe: So three quick ones, if I may. You mentioned the landing point in construction. You said that the goal was to recover the margin of 2.8% from the bottom up. Does that include the remedies, the claims, improved climate in France? That's a bit challenging, notably for residential construction. Second question, the EBITDA margin, is that up? And then order of magnitude of the growth in traffic of the Duplex A86, please?
Xavier Huillard: On your first question, that's not the way you must look at things. I mean, a construction site, a construction project never goes according to plan for reasons that are sometimes attributable to us that we recognize, sometimes for reasons that are attributable either to the client because he changed a number of things or the environment, namely, what's happening in the subsoil. So a project, a work site, you can have very sophisticated contracts. There are always things that need to be discussed during the life of the contract. When you're with clients, let's say, open and accommodating, well, you can solve, settle those modifications run of the river at the margin. When it's slightly more tense with your client, then you devote more time to settling them. So our anticipation on booking a number of additional revenue on the number of projects was disappointed. There are no names but is expensive since we're prudent and we book expenses as they occur. And when that income is agreed with the client, there's, of course, a lag of it. I don't think we can talk about claims. It's really just a discussion on possible changes that are inherent to our business. On the two, next two questions, the ANA margin, did we disclose that? Christian disclosed this. We said flat. I mean, it's stable. The margin is pretty much flat.
Christian Labeyrie: At a very useful level.
Xavier Huillard: And your third point on the A86 traffic levels, we don't disclose. We don't. Whoever has the mic can ask a question.
Unidentified Analyst: Royal Bank of Canada, Three questions. Number one, motorways, you had a strong improvement in margins. Can you please recall the percentage of payment that's done on an automated basis by retail customers. You were talking about the free-flow system. What are your ambitions in terms of new payments revenues? And a more technical question, if I may, you were talking about insurance revenue that contributed to EBITDA. Could you give us more explanation? And also on construction margins, very happy to hear that it's flat on for the year. But can you explain what is holding back the margin. And looking at the order book, do you hope with the major projects to improve getting back to the previous margin? And the third question, LGW Gatwick, there was no third runway project in the pipeline, but we're talking about an emergency runway. I don't know what the technical term is for this. But is this in line with your CapEx forecasts? Can you give us some info on this?
Xavier Huillard: Right, well, construction margins, I already answered earlier some of it, repeat what I said earlier. Gatwick, I think it's completely in line with what we were planning. Well, the third one would be an upside, I mean, construction, in fact, second runway. It's not really for the near future, quite frankly. We're at the very beginning of a process that may last many, many years because you need many planning authorizations and particularly from the stakeholders who live around the airport and everything that gravitates around the environmental issues. Now between the future presentation of the new runway and the current situation, there's a whole series of investments that we're planning in our business plan which are improvements enabling optimization of the current runways with some systems enabling the plane to spend as little time as possible on the runway in order to further increase the number of planes that can land or take off from a single runway at any given time. And there's always the possibility of any platform to make better use of the 24 hours in any day by encouraging some companies to land or take off outside peak hours in order to advance and spread the use of the airport infrastructure. Okay. Looking at motorways, automated payment, whatever the system through telepeage or bank card can represent 100%. So there's basically no or it's very much or there are almost no longer any manual cash payments. Looking at free flow. The difficulty with free flow is not so much a technical challenge. It's a difficulty that is due to regulatory reasons because, as you know, in the free-flow system, the principle involves letting the vehicle through the system. There's no barrier at the tollbooth to check whether it's authorized to go through or not by checking the badge or by checking the number plate badge. And we're conducting experiments. And once it's through, then you get the information in the following nanosecond telling us whether you have been charged as you go through, whether you have a bank account and whether there's money on the bank account so that we can charge the toll. If that's not the case then you need to be able to track down the motorist which presupposes that you have -- you're authorized to establish a link between the number plate and his civil status and to be sure that once you've tracked down the motorist, he will be solvent and will be able to pay the toll. If you're in an environment which is very limited, for example, on an island or in a country where you only work with local citizens, like France, well, there's no big problem. But when you're in a country like France which has many motorists coming from many different countries then, of course, it becomes more difficult because looking for a motorist from Lithuania or Romania or Bulgaria who's going through France, well, I mean, even if you have his number plate, if you can't put a name on the number plate, then quite frankly it's not much use. And if once you have the name you're unable to access the bank details to get the toll paid then it's not much use. So the problem is finding a European-wide system that will enable us to ensure that the passage at the tollbooth will trigger the payment. So the pace of installation of the free-flow system is not so much a technical problem as a regulatory problem at European level in order to enable us to have access to the civil status of the motorist and to have access to their bank account. That's more or less -- that sums it up pretty much. Looking at insurance, we do not disclose information.
Unidentified Analyst: Hi from ODDO. A few quick ones. Still on the contracting margin on energy this time. We've been saying for a few years now that the margin has reached its maximum level, but it continues to grow year-on-year. Do you have any new targets that you set? Can we expect an increase in line with the performance achieved full year? Then on the autoroutes, on the highways, can we expect an extension of the maturity of autoroutes in France? There was a piece in the paper, an interview by the Sanef CEO mentioning the possibility -- well, rather proposing to fund the works on the non-conceded network by extending the maturity of his network. Do you think that's feasible given the current political climate? And then a final question, our template margin on VINCI Construction. Can you tell us a bit more about the contracts that hurt the margin in terms of H1 in terms of geography, type of difficulty?
Xavier Huillard: I'll take them in reverse order. As per usual, on VC, now I can't give you the list of contracts because VINCI is, what, 300,000 projects, contracts. You have small, medium and large. And so the development that I mentioned, sometimes a bit more difficulty in booking and number of things from our clients is true. Far from systematically, but it's often true for small, medium and large contracts. But of course, it has a bigger impact on big contracts. I can't give you the list because it impacts many contracts. It's more kind of a general atmosphere which is one of great attention than previously, which reveals the kind of greater tension in the economy without going into further detail. On the extension of the motorways, it really depends what you're referring to. If the question is, do we think that relatively short term we're capable of devising and signing agreements with the state on extending the lifetime of concessions? The answer is we don't dream. To my knowledge, the transport minister has responded. She said no. Well, I mean, there was the case. The article by Sanef yesterday, that was published yesterday on an issue that's not a huge leverage. Now we will be thinking about it for a number of years. The minister has already answered that. That was a nonstarter. So if it's a short term, my answer is yes. If it's more mid, long term, answer is maybe. It seems to us still to be a particularly efficient way of funding a number of measures to develop land planning around the motorway, where, in fact, a recent study commissioned by the Transport Ministry entrusted to an engineer, his name is [indiscernible], actually refers to those proposals that involve, let's say, find ways of applying this rather smart principle to rely on existing concessions to improve or you can restructure parts of the road networks around the motorway, but it's not land tomorrow. On the VINCI Energies margin, no, I don't think we said that we reached the peak. We said that it was pretty good to stabilize at the level of 5.8% that we've been at for a number of years, but we're hopeful that we'll continue to improve it. And it's small steps, one at a time. So yes, of course, one day, it will no doubt be possible to achieve 6% margin on VINCI Energies.
Pierre Bosset: Pierre Bosset, HSBC. Going back on construction margins in France next year, there are some cost increases regarding the cancellation of tax niches on low salaries and we hear about the lack of labor force, high tarmac cost. Can you tell us how this is going to impact the margins of VINCI Construction?
Xavier Huillard: Well, in the contracting business, you have 2 types of contracts, small contracts and large contracts. On the small contracts, as soon as you processed it and implemented it, you implement it. And if there are any increases, they are relatively marginal increases since the information time line does not enable these increases to be passed through. And you have the major contracts which usually contracts with index linking, formulae based on the -- that take into account the full cost of the project in the appropriate way, taking into account the cost of labor across the board, et cetera. So the challenge when you have changes along the lines of the tax treatment of diesel fuel for non-road diesel fuel, the difficulty, and I think this is what we're finding, is to have on the one hand gradual implementation of the VAT change in order for the small contracts where the short-term cycle are not impacted and to be able to take into account the new situation in how we set our prices for the following contracts. That is number two. The increase has to be taken into account. It has to be factored into the indices such that we are remunerated on the major contracts through an increase in the index. And ultimately, if that's how it goes, then we pass on that cost to the end user. And on the road business, it's local authorities. The reality is that you make the local folks pay. I said I won't be saying this in front of journalists by the way. And this is an answer I can make on other subjects that you have raised, in particular, on the tarmac business. Now where's Pierre? And he will correct me if I'm wrong. Well, yes, tell us about the shortage of tarmac, Pierre , please?
Unidentified Company Representative: Well, the shortage of tarmac, it's the second year running that we have a shortage of available tarmac at peak periods end of June. And we're actually in that period right now. It is linked to structural reasons due to the decline in the number of refineries in France and to cyclical factors which tend to recur from 1 year to the next due to the economic situation because the cost, for example, in the refineries and pollution problems in other areas that were not foreseeable. The whole profession is working on this particular problem, be it the motorway constructors or oil companies who are the manufacturers of tarmac. We aren't forgetting, of course, the transport companies. And all this is being supervised by the Transport Ministry which is very concerned that construction starts may be held up because of this problem. And similar to last year, we have had some sites that have already been held up. And as was the case last year, we've been able to avoid a broad shortage that would have stopped work for several weeks or months. What's going to happen in the months ahead, I simply can't tell you. We're doing everything in our power to ensure that our business is not impacted. We've done a good analysis of the situation. We're working in partnership with the various stakeholders and we're going to do absolutely everything to avoid being too severely penalized in the autumn. But we're very, very watchful on this. Now there are some antidotes. For example, signing long-term contracts with oil companies in order to be among the first plants to get delivery when there's tarmac available. And number two, to have greater storage capacity for tarmac and to be slightly less exposed to a shortage when there's slightly less tarmac available from the refineries.
Unidentified Analyst: Hi, I'm from Bryan Garnier, two quick ones. The first on the year-over-year margin. You gave specific indication of the VC margin and of the VINCI Energies. Can we have some guidance on the landing point for the EBIT margin at Eurovia? Second question on digitization in construction. Could you give us an update where you're at in digitizing your job sites, work sites? Could this be a way for you, this digitization, of reducing the changes that you may kind of run over as part of the contracts on construction sites?
Xavier Huillard: The Eurovia margin was what last year, 3.9%? 3.9%. It will improve. It's set to improve. So a round number wouldn't be done. On contracting energy, as you'll have understood, incrementally the margin will flourish. Eurovia, constructions on the low side because we should be around last year's level, bottom up. So all in all, things are okay. On the changes -- on your second question, which is a very broad question, digitization in the construction business, I mean, is fully factored in. We're not at the end of the road. But BIM and construction, I mean, it's part of day-to-day business. But I would recall I already gave you the speech -- the pitch on this. BIM, you have the design. BIM divide -- designed them under BIM, that's done. I'm talking about large companies, large corporates, global, that's done. I don't claim that it's all our job sites that are BIM-designed because often we don't control. We intervene next -- post or after it's been designed by someone else, but that's underway. That's factored into our teams. Now the maintenance, operations BIM at VINCI Energies, that's developing well. The challenge is to middle BIM on the project during the construction phase. BIM -- the site, make sure that our coworkers -- workers on-site have the digital enablers to get it right first time with greater precision, and the site to be -- to take into account of the work site as it is to update live the mockup, so that it's consistent with what we've designed. Now that's a big challenge. We're making headway, but it's going to take years before we have projects that are fully digital on that front. What's true is that in large part, the site at BIM allows us to resolve the difficulties that were attributable to us. Organization flaws, failures, et cetera will be even more rigorous with that enabler on the job site by getting it right first time. It won't change much as to the difficulties that stem from outside the job site. That's to say, a client who decides to modify the project that the margins thinks that it doesn't cost very much, where in fact it's going to disrupt the whole chain; or a stakeholder, a network concession close to the job site who says that he has a pipe or something running under your site or geotechnical difficulties to discover, as was our case for the French Metro on Line 14, Northern Paris. In the subsoil, there are water movements that are unpredictable so we can't build and that we had to freeze the soil with nitrogen. So it's going to be more efficient on-site, but it's not going to be revolutionary as to solving difficulties that involve other partners, be it the client or stakeholders. Is that understandable? I don't know. Alexander, did you understand that? The third question was...
Pierre Duprat: Are there any further questions?
Unidentified Analyst: [Indiscernible] Research. I'd like to know in terms of external growth what would be the potential development for VINCI. My second question is on the debt load. Is there a level of debt that you are specifically targeting since the group size has changed? And the third question is on the launch of the work in Lisbon. When is this expected to start? And I think there was a signing coming up, a contract to be signed. So what's the story on that?
Xavier Huillard: Right. The first two questions, and then I'll hand over to Nicolas, so that he can answer the second question. The first question was on the external growth. No, Amiro [ph], nothing has changed. As you know, we're pretty consistent. Our view is that each of our businesses may -- can grow through acquisitions, but those of our businesses which are profitable, in good shape can do far more than others, to be clear. Having a lot of external growth would probably be somewhat clumsy because our priority is to deal with what we have at present, which is the current scope of the VINCI Construction. Now within these businesses, we have 2 specific points we're focusing on. One is airport concessions and the other one is energy and contracting. For the reasons that we have explained at length, airport is self-explanatory. And on energy, it's quite simply because the energy businesses are at a crossroad between 2 key themes that are driving these businesses at present, namely the energy transition and the digital revolution. So we are living through that. And in the energy business, as you know, there are a great deal of opportunities for external growth around the world. And we feel that we are fully able to integrate them, but everything is working well at VINCI Energies. We have an organization and marketing model which is performing very strongly. So external growth will remain against that backdrop with that particular emphasis I've referred to. But from time to time, as was the case last year, we will make some very good acquisitions year-over-year, because year-over-year at present has a business that is extremely healthy. It has a strong organizational structure, a good operating structure, and it will continue to do a bit of shopping here and there, depending on the geographical areas where they feel most comfortable, and in particular, in North America. There's not much else that can be added to that.
Nicolas Notebaert: Second question on Montijo, and then the question on the debt load. You were signed with the Portugese government with 2x of investment. The first will start in Orteng. Similar to Gatwick, the idea here is to improve the efficiency and the fluidity of traffic on existing runways. This does not require any particular amendment. This will start after the summer season. And the rate of return is around 7%. And we have a very high rate of traffic. The environmental study, the public inquiry, the public survey is underway for the Montijo Airport runway. We need to have that study before we get the go-ahead. We expect the result of the survey in the autumn. And then once the results of the survey has been published, the amendment to our concession contract, we'll have to reflect what is already in the MOU and we can implement that quite quickly. And that means that the work would begin after all that will was last approximately 3 years after the date of signing. Thank you.
Christian Labeyrie: The question on the debt load, there's no simple, easy answer to that. The debt load changes depending on the assets that we have. As I said earlier, S&P is finding it difficult to maintain our current rating of A- because we have a strong -- they'd like to increase it to A from A- and even go higher than that. The question is what are we going to do without additional debt load capacity if we acquire concessions that will give us right to additional credit for the debt load. So it's going to change depending on the profile of the VINCI group. Then after that, of course, what we're trying to do is to put the debt where it needs to be, which is on the assets on VINCI Autoroutes, on Gatwick, on ANA in Japan, et cetera. So we need to optimize the debt load of each asset in order to see what is left after that and if there's any additional excess capacity and it's very significant. But I mean, that doesn't mean we're going to go all out. It's not really part of our culture, as we often recall.
Pierre Duprat: Okay, we move to questions over the phone. Take the French questions first. So we begin questions from over the phone.
Operator: We have two questions. [Operator Instructions]. So first question from Morgan Stanley.
Nicolas Mora: So a few questions, starting with cash flow. Could Christian tell us a bit about the good performance on working capital requirement? It's well contained here in spite of the strong growth in contracting. That would really have penalized you in the first half. Second, we saw a one-off last year on consolidated at equity. I think there's still another one. Japan has performed well, but we have quite a significant delta of €60 million, €70 million. Is there anything to add there? And final point, could you give us an update on slightly more problematic situation in concessions, LAMSAC, Nantes, potentially on Cambodia, the slightly trickier projects?
Xavier Huillard: Do you want time to think about that, Christian?
Christian Labeyrie: Yes.
Xavier Huillard: On the first two questions, because I didn't understand the second one. On the one-off, well, our one-off is nonrecurring. Okay, so contrary to what some might readily think a concession is never a bed of roses. And so we know that for all our concessions, whatever, there are always times that are slightly more tense, constrained than others. Strained or just with difficulties. The good news is that generally we can resolve them. you'll recall not so long ago of the situation in which we were for a major French highway concessions. You mentioned Cambodia, I don't see what you're referring to, and so, Nicolas Notebaert is going to think about it. If he can find issues of particular concern in Cambodia. You mentioned Nantes, situation remains the same today. There's no negotiation underway for a simple reason that is for there to be negotiation, we have to be informed of the termination. We know that we will be terminated. We understand that we'll know this at the end of '21. But we -- at this stage, we have not begun genuine negotiation as to the quantum that would be awarded to us on that occasion. So in the meantime, we have to do with what we have available in order to welcome the good conditions, the airlines and passengers who continue to grow very significantly at Nantes Atlantique Airport because I think if -- unless I'm mistaken, I don't know if it's the first half or Q2. We've achieved 18% growth rate at Nantes Atlantique Airport. We have to absorb that at constant installations which is always quite a feat to -- and on Nantes, we know the government department and the engineering services are beginning to prepare a new project that's going to be the subject of a public inquiry, will serve as a basis for the consultation in 2021 to appoint a new concessioner to operate Nantes Atlantique Airport. We are, of course, not involved in that work of design, discussion and inquiry. If we did so, we would be prevented from taking part in the competition the day it's launched. So I can't really say much more. As to LAMSAC, well, this is something that is, indeed, I mean, not necessarily very easy to live with. The Mayor of Lima who came into office at the end of 2018 said to the press last week that he was going to ask for the cancellation of the concession of LAMSAC from international tribunals in support of position. He mentioned presumed corruption between the Lima municipality, that is his predecessors, and OAS, the Brazilian constructor at the origin of our concession. The LAMSAC Company itself is the subject of absolutely no proceedings whatsoever. So we heard the Mayor of Lima make that statement in the local press at Lima last week. And so well, for the time being, that's all we know. Our sense is that we have been flawless in this matter from the outset because it was won by OAS. So in '09 they started the works, and then they ceded the concession to a company called INVEPAR. That is a company made up of Brazilian pension funds. OAS, remaining the constructor. Since they were unable to continue to build, they stopped the construction. That's where we stepped in, in 2016. We bought the concession from INVEPAR, not from OAS. INVEPAR exited the OAS builder. And so we took over from OAS to complete the project under very difficult engineering conditions. We fully delivered on our share of the contract to complete the project that had been stopped because OAS weren't able to continue, to have fully complied with all contract terms and clauses, to improve hugely traffic flow and user service by developing the toll through PEX company. So watch this space.
Nicolas Notebaert: Hang on. On Nantes -- about Cambodia. This is Nicolas. You're probably referring to the fact that for some 10 years now that regularly in certain media, notably in Asia, mention may -- in the future, there might be new airport projects in Phnom Penh and Siem Reap. Nothing's moving. There's no beginnings of works, no contracts, no change on those airports. Secondly, there are contractual provisions, obviously. Take account those cases on this concessions contract. Thirdly, Cambodia, it performs very well because Phnom Penh and Siem Reap continue to grow. We saw 15%, but we also have the very strong start-up of the third airport that we -- Sihanouk City, that's going to top the €1.5 million passenger this year. There was 0 3 years ago, pretty unique case in our network. 150% growth with Chinese traffic. So a concession that's doing well. Contractual provisions, nothing new. But from time to time there are possibilities, mentions of new airports that we're also following. But nothing started. No particular threat in that country.
Christian Labeyrie: So on working cap -- the improved working capital, the slightest consumption of WCR on the half is about €200 million due to cash in -- that was better this year over last year, notably at Eurovia and VINCI Concessions. We exert pressure on our operational people. They don't just focus on margins and on the bottom line but transforming the earnings into cash. And that's bearing fruit. It's a long-term effort that must percolate through every level of the organization. We're highly decentralized, and it's paying off. On the income statement between operating income, EBIT and operating income last year, I mean, we told you at the time of a one-off upside on the reconsolidation of Gefyra, our Greek company concession of the Antirion Bridge Road, about €10 million that we don't have this year. But there's an improvement in many units consolidated by the equity method. I mentioned Japan. There are others that are more than offset this positive -- other items. I mean, the list is very long, without going into the detail.
Nicolas Mora: And if I can come back on the working capital. Is there also some profits sort of benefit of prepayments on some big contracts like you announced good contracts at the beginning of the year? I'm thinking the 64 in the U.S. or Ottawa. These contracts generate prepayments. We had those in H1. Or can we can expect some through the end of the year to continue to improve the WCR?
Christian Labeyrie: To my knowledge, we haven't had those. For Ottawa, maybe. Ottawa yes, but not Virginia. So for the most part, no.
Xavier Huillard: And on the New Zealand contract, it's not even in the order book. Generally -- well, you have to enter it, there has to be the advanced payment -- the payment order. It's won, but it's not booked in the order. So on Ottawa, Pierre, the prepayment, we had that one -- the first we in the first half, on the E64.
Pierre Duprat: Okay, let's take the next question in French, please.
Elodie Rall: Elodie Rall, JPMorgan. One question. Can we go back on the margins of VINCI Autoroutes which were up strongly in the half -- first half, a 5% increase in EBITDA, whereas traffic is flat. Can you tell us about the drivers for the increase in margin? Is it the mix between SUVs and light vehicles?
Xavier Huillard: The answer is no. Christian has said everything about the -- there was the mix, a combination of items. Climate factors impacting the winter season and the one-off impact of previous incidents. That's all we can say. So the clear answer, Elodie, is no. You cannot go for a maintaining of this current level of EBITDA for the year as a whole.
Pierre Duprat: Next question, which will be in English.
Operator: Next question is from Olivia Peters from Macquarie.
Olivia Peters: Olivia Peters from Macquarie. Just two questions, please. On LAMSAC, I was wondering if you could talk about the recourse you have in case of revocation of the contract. Is there a specific clause regarding remuneration if the contract does get canceled? And secondly, on Gatwick airport, you have been very specific about the fact that you want to increase the retail spend per pax there. It's one of the lowest in the London area. Do you have a specific target in mind?
Xavier Huillard: Well, on LAMSAC, it's very premature. I mean, first off, over and above the oral communications, I mean, Lima municipality would have to start acting. What they said that they would place the matter in the hands of international bodies, no doubt, referring to the fact that in the contract it's mentioned that in the event of a dispute that disputes are treated by -- what's it called, an arbitration -- international arbitration in Paris. That's how it was written into the initial contract. And so we are not at all in the situation of beginning to look at the contractual clauses. On Gatwick, retail?
Nicolas Notebaert: I didn't get the full detail on Gatwick. But actually, there are 2 things. In the current phase, we have -- Xavier mentioned going from 55 to 60 movements, so potential traffic increase in the movement, passenger yield, where we have increased ambitions to readjust, redevelop the terminals. Gatwick's very efficient operational, but has some room for progress that we'd like to -- it'll take a few months, a few years to put in place, those developments. And then there's an upside that they announced recently, is that the Northern Runway project has been officially presented as the master plan.
Xavier Huillard: The lady was focusing on retail.
Nicolas Notebaert: On retail, we have plans to redevelop, but it won't have immediate effects because we have to read to the inside. I mean, the premise is a cramp, but things can be done. And we plan, over the next 2, 3 years, to develop these areas and to boost the passenger yield.
Pierre Duprat: We have one last question. Back to French.
Operator: Yes. Cheuvreux, over to you.
Josep Pujal: Kepler Cheuvreux. Two questions, if I may. Can you give us an indication on the like-for-like on VINCI Airports for growth? A distinction -- do you have a distinction for revenue, plus 8%, and published with external growth of plus 44? For EBITDA, we don't have the like-for-like. We only have overall growth, an overall increase of 38%. And the second question, to go back to the question of the 180 basis points improvement in the margins for the motorway business in the first half. So looking at the entry, the winter maintenance entry, did that have an impact since the winter period was quite mild? Can you provide us some explanation for the behavior looking ahead to the second half?
Xavier Huillard: Well, that's what we said, isn't it? Yes, I think that's exactly what we said, Josep.
Josep Pujal: Maybe I didn't listen to everything. Apologies. I didn't listen to the full answer.
Xavier Huillard: No, what we said is that the improvement -- the cyclical improvement in the EBITDA margin for VINCI Autoroutes in the first half is due to several factors. One of them being the fact that the weather conditions enabled us to use less maintenance product for winter maintenance work. We didn't go into further detail because we still have -- we need to keep a few secrets, don't we. Looking at the like-for-like, the EBITDA margin for the Autoroutes business, we never give the VINCI Airport. No, we've never given figures on that. We've never disclosed.
Josep Pujal: Well, okay. Well, you say whatever you want then.
Christian Labeyrie: No, I don't have a precise figure. But taking into account IFRS 16 in Gatwick, we have growth to the tune of 13%, approximately. But that includes LGW. I mean, it's -- anyway, it's double digit.
Xavier Huillard: Pierre Duprat is telling us that it's time to go and have a drink. Thank you very much for being with us. Have an excellent summer break, all of you. Thank you.